Operator: Greetings, ladies and gentlemen. Thank you for standing by. Welcome to the Global Water Resources Incorporated 2021 First Quarter Conference Call. At this time, participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] I would like to remind everyone that this call is being recorded on May 6, 2021 at 1:00 PM Eastern time. I would now like to turn the conference over to Joanne Ellsworth, Vice President, Corporate and Regulatory Affairs. Please go ahead.
Joanne Ellsworth: Welcome, everyone, and thank you for joining us on today’s call. Yesterday we issued our 2021 first quarter financial results by press release. A copy of which is available on our website at www.gwresources.com. Speaking today is Ron Fleming, President and Chief Executive Officer; Mike Liebman, Chief Financial Officer; and Chris Krygier, Chief Strategy Officer. Mr. Fleming will summarize the key operational events of the quarter, Mr. Liebman will review the financial results for the quarter and Mr. Krygier will review strategic initiatives and business development for the quarter. Mr. Fleming, Mr. Liebman, and Mr. Krygier will be available for questions at the end of the call. Before we begin, I would like to remind you that certain information presented today may include forward-looking statements. Such statements reflect the company’s current expectations, estimates, projections and assumptions regarding future events. These forward-looking statements involve a number of assumptions, risks, uncertainties, estimates and other factors that could cause actual results to differ materially from those contained in the forward-looking statements. Accordingly, investors are cautioned not to place undue reliance on any forward-looking statements, which reflect management’s views as of the date hereof and are not guarantees of future performance. For additional information regarding risk factors that may affect future results, please read the sections Risk Factors and Management’s Discussion and Analysis of Financial Condition and Results of Operations, included within our latest Form 10-Q filed with the SEC. Such filings are available at www.sec.gov. Certain non-GAAP measures may be included within today’s call. For a reconciliation of these measures to the comparable GAAP financial measures, please see the tables included in yesterday’s earnings release, which is available on our website. I will now turn the call over to Mr. Ron Fleming.
Ron Fleming: Thank you, Joanne. Good morning everyone, and thank you for joining us today. We are very pleased to report the results for the first quarter of 2021. Before handing the call over to Mike to review financial highlights, I will review a few operational highlights. Operational highlights for the quarter include, in accordance with our top priority, we continue to perform at an extremely high level on employee safety and regulatory compliance non-reportable incidents. Within the quarter, we experienced no recordable events, injuries, or expenses related to employee safety. And as of today, our staff has only experienced two minor OSHA recordable incidents in 1,345 days. We have incurred only $2,500 in nearly five years on OSHA recordable related incidents, resulting in an extremely low loss ratio and experience modifier or EMOD of 0.62. As a reminder, an EMOD of 1 is considered to be industry average. So said in another way, we are performing 38% better than the industry average, which results in lower actual costs and workers’ comp insurance costs. Also have incurred no significant compliance violations in the quarter, it has now been 1,838 days since our last significant compliance violation or over five years. These impressive track records clearly demonstrate our performance on our top mandate customer and employee safety. I now want to highlight customer growth. On the organic growth front total active service connections increased 8.5% as compared to the end of Q1 2020, bringing total connections to 50,162. Development and housing activity remains very strong in Metro Phoenix and our service areas. As a reminder, single family dwelling permits for Metro Phoenix, totaled 28,704 up 18% over 2019, sorry in 2020. According to local real estate consensus, single family permits increased by another 28% in Q1 2021 year-over-year. Local real estate consensus projections indicate that growth will continue throughout 2021 and 2022. Specific to our larger service area, the city of Maricopa has already issued 825 housing permits through April of 2021, a 215% increase over the same period the prior year. Beyond housing growth in our core existing utilities as noted in our earnings release, we also are making excellent progress on our engineering, permitting and construction of new service areas, including for the Nikola Motor Corp projects and the surrounding Inland Port Arizona project amongst other areas within our large service areas. It’s important to note that we have accelerated capital investments as required to prudently manage this type of growth, including the new areas requiring service. Those of you that have been following our company for a while, know this is what we’ve been preparing for and speaking about as a company, really since the beginning. This was the strategy to buy or build utilities in the path of growth along growth corridors. This is again accelerating. And in short, we are well positioned to benefit from rapid growth throughout our large service areas in Pinal County and Maricopa County. Chris Krygier will discuss acquisitions and our in-process rate application later in the call. Putting all these elements together, Global Water is well positioned from an operational, safety, compliance and financial perspective with notable growth in the years to come. I will now turn the call over to Mike for financial highlights.
Mike Liebman: Thanks, Ron. Hello, everyone. Total revenue for the first quarter of 2021 was $9.3 million, which is up $1 million or 12.5% compared to Q1 of 2020. This increase is primarily driven by the organic connection growth, increased consumption and our approved rate increase. Operating expenses for Q1 of 2021 were $8.2 million compared to $6.4 million in Q1 of 2020. This is an increase of $1.8 million or 27.7%. Notable changes in operating expenses include increased operating and maintenance costs by $267,000, which was primarily driven by those costs that increase as revenue increases as well as increased medical expenses. Second, increased depreciation and amortization expense by $113,000, primarily due to the increases in our fixed assets associated with our capital expenditures plan. And thirdly increased G&A expense by $1.4 million primarily due to the deferred compensation tied to the change in our stock price. Specifically in Q1 of 2021, we saw an increase in our stock price of a $0.90 or 13.2%, going from $14.41 to $16.31. Additionally, in Q1 of 2020, and likely due to the COVID pandemic, our stock price declined by $2.96 or 23%. This large swing from Q1 of 2020 to Q1 of 2021 is driving the increase in G&A since. In summary, this caused deferred compensation tied to stock price to go from a negative expense of $733,000 in Q1 of 2020 to a positive expense of $460,000 creating a swing of $1.2 million. Now to discuss other expense. Other expense for Q1 of 2021 was $1.3 million compared to $1.2 million in Q1 of 2020. The $68,000 increase was primarily due to reduced interest income and Lower Buckeye royalties. Turning to net income, Global Water had net loss of $217,000 or $0.01 per diluted share in Q1 of 2021. Now to talk about adjusted EBITDA, which adjust for non-recurring and non-cash items. Adjusted EBITDA was $3.6 million in Q1 of 2021, which was down $519,000 or 12.7% compared to Q1 of 2021, primarily driven by the previously mentioned increase in deferred compensation expense associated to the change in stock price. Before turning the call over to Chris, I’d like to touch on our liquidity position. Firstly, I’d like to mention that we recently extended our $10 million revolving line of credit for three years, which has now been extended until April 30, 2024. When combining this unused $10 million line of credit with our existing cash on hand of $18.2 million, we have over $28 million of liquidity to support ongoing operations in our growth strategy. This concludes our update on the first quarter of 2021 financial results. I’ll pass the call to Chris to review our strategic initiatives and business development activities for the quarter.
Chris Krygier: Thanks, Mike. Hello, everyone. I’ll briefly highlight three items for you before passing the call back to Ron. First, our rate case process at the Arizona Corporation Commission continues as expected. The next major milestone is receipt of the initial staff and intervene or testimony on or around May 19, 2021, with reply testimony to be filed in June and July this year. After the written testimony process is complete, the evidentiary hearing is scheduled for August. After the evidentiary hearing is concluded, the parties provide legal briefs summarizing the case and the administrative law judge draft a proposed order for the commission to consider for a final vote. As you will recall, any new rates authorized by the commission will be effective for the majority of our utilities through a multi-year phase in starting January 2022. Finally, it’s important to note that there can be no assurance however, on the outcome of the case, the requested rate increase or the timing of any increase. Next, turning to expansion of current service areas and the establishment of new service areas. In the quarter, we issued a press release announcing our agreement to provide service to the Nikola Motor Corp facility in Coolidge, Arizona. Specifically, Nikola continues a rapid construction pace with water service anticipated to be delivered this quarter. While we don’t anticipate Nikola’s initial usage demand to be material, we are optimistic about the long-term growth prospects of the larger adjacent inland port Arizona area as we continue to respond to various proposals to provide service in that area. Finally, the last element of our revenue growth drivers relates to acquisition activity. In February this year, we signed asset purchase agreements to acquire the water utility assets of Twin Hawks Utility Inc, and Rincon Water Company. These two acquisitions are asset purchases, which require approval by the Arizona Corporation Commission. A process we initiated with the commission just last month. We estimate that the commission will issue an order on both acquisitions by the end of the year. Once approved, we anticipate closing with cash on hand. Looking prospectively, we continue to focus on acquiring water and wastewater utilities across the state of Arizona from the very small to the very large and are in due diligence with several parties. Regarding out of state acquisitions, while nothing is eminent we continue to explore different opportunities outside of Arizona. This concludes the update on strategic initiatives and business development for the quarter. I’ll now pass the call back to Ron.
Ron Fleming: Thank you, Chris. It’s clear we are well positioned with a strong balance sheet and disciplined strategy that continues to accelerate. And back from an operational and financial perspective, we have never been stronger. And we have more than ample liquidity and access to capital to be great utility partners for the communities where we have the privilege to serve and to pursue expansion through organic growth, acquisitions and new projects, both big and small. If we handle this high growth, we intend to remain at the forefront of the water management industry and advance our mission of achieving efficiency and consolidation. We truly believe that expanding our total water management platform and applying our expertise throughout our regional service areas into new areas will be beneficial to all stakeholders involved. We appreciate your investment and support of us as we grow Global Water to address important utility, water resource and economic development issues in Arizona and potentially beyond. These highlights conclude our prepared remarks. Thank you. We are now available to answer any questions.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Ron Fleming for closing remarks.
Ron Fleming: Great. Thank you, operator. I’d like to thank everyone for participating in the call today and your interest in Global Water Resources. Thank you and we look forward to speaking again with you soon.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a great rest of your day.